Operator: Ladies and gentlemen and thank you for standing-by. And welcome to the Ontrak Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that today's call is being recorded. [Operator Instructions] I will now like to turn the conference over to your speaker for today. Caroline Paul, you may begin.
Caroline Paul: Thank you, and thank you all for participating in today's call. Joining me today are Jonathan Mayhew, Chief Executive Officer; and Brandon LaVerne, Chief Financial Officer. Earlier today, Ontrak released financial results for the fourth quarter and year ended December 31, 2021. A copy of the press release is available on the company's website. Before we begin, I'd like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believes, estimates, expects, intend, guidance, confidence, targets, projects and some other expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance, but may involve and are subject to certain risks and uncertainties, other factors that may affect Ontrak's business, financial condition and operating results, which include, but are not limited to, the risk factors described in the Risk Factors section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Ontrak expressly disclaims any intent or obligation to update these forward-looking statements. With that, I'd like to turn the call over to Jonathan.
Jonathan Mayhew: Thanks, Caroline. Good afternoon, everyone and thank you for joining us. In the President's State of the Union address on March 1, he laid out a plan to address the nation's mental health crisis by strengthening system capacity, connecting more Americans to care and creating a continuum of support to address mental health holistically. Inequitably. Anyone who's tried to navigate the behavioral health care system in this country knows that primary care providers, health plans and treatment specialists struggle to communicate with each other, which is heightened anxiety for individuals who are already suffering with behavioral health issues, they may simply give up. The launch of Ontrak’s new provider integration platform helps address the challenges of system capacity, access to care, and the need for a continuum of support. Our provider integration platform is just one of the important steps we took during the fourth quarter of 2021 to prepare the company for accelerated growth and profitability. The new Ontrak management team has continued to expand and diversify our sales pipeline across multiple industries, from higher education to hospitals, pharmaceutical and manufacturing. We anticipate positive outcomes from our ongoing discussions with multiple national health plans, health retailers, managed behavioral health organizations, employers and provider clinics. We've signed a new contract with a TechFirst company for LifeDojo behavioral health program, and we are in advanced discussions with the State University to serve the well-being needs of their faculty and student population. We've begun implementation of our industry leading AI enhanced clinical model and we anticipate signing contracts with multiple partners very shortly to launch our own high quality behavioral health provider network. Our advanced provider integration platform, powered by a behavioral health industry leader Netsmart enables us to potentially communicate with over a half a million behavioral health providers already on Netsmart and also with any electronic health record system anywhere in the nation. This new collaborative care platform positions us to speed up access and scale cost effectively as we meet the growing needs of our new customers. Importantly, we also have a path to profitability that contemplates positive monthly EBITDA in the first quarter of 2023 with positive operating cash flows a quarter later. In 2022, three growth drivers will be our focus. Number one, a new capital structure which supports our path to financial strength and profitability. Number two, a robust and diversified portfolio of current and new customers comprising health plans employers, health retailers, managed behavioral health organizations, healthcare organizations and associations and providers. A significantly higher level of collaborative care achieved through integrative relationships with treatment professionals on our own provider network and the networks of our customers and through the simplification in automation of data exchanges between providers Ontrak care coaches PCPs and members. Brandon will share more details on our capital structure and path to profitability in a moment. So I'd like to share more with you on our customer portfolio, and our roadmap for provider integration and collaborative care. Let's start with customers. We are deeply grateful for the ongoing partnership in support of our health plan and employer customers. We are working with these customers to expand the markets we serve together, partnering on new government contract opportunities, helping close gaps in care and delivering more mobile and digital solutions that reduce disparities by connecting individuals to the behavioral health care they need across all socio-economic, geographical under these states. We are proud to have signed a three-year contract with our largest employer customer, a highly respected technology company for expanded mental health and well-being support for their employees in 39 countries. We've made steady progress on our sales pipeline since our last earnings. We are now in active conversations with 16 health plans across the country, potentially representing millions of lives nationally. The bulk of our sales pipeline continues to be government lines of business and over 90% of our initial meetings with prospects are resulting in follow-up meetings. No prospect has fallen out of our pipeline since the last earnings call. Well, every prospect will not ultimately advance to a signed contract and the speed at which customers move through the pipeline is still lower than we would like. We are encouraged by the quality of the conversations and their fit with our capabilities. We are nearing an agreement to exchange data with a prominent multi state health plan, whose total footprint covers millions of lives. We are also co -developing a term sheet with a large provider network that needs to supplement their onsite behavioral health services through our care coaches and AI infused interventions. The partnerships that we are now discussing with a number of health retailers and clinics are good examples of how we are finding strategic ways to bring our value proposition to new markets -- new proposition to new markets. We are exploring opportunities to enhance onsite clinics and retail settings with behavioral health solutions that can better support individuals with chronic disease [indiscernible]. Ontrak is well positioned to enable these organizations with large footprints to access our care coaches and behavioral health providers through our mobile app telehealth engagement and support in person visits as an integrated offering to the local community. This enables us to be a strategic partner in advancing the use of onsite and telehealth solutions through new channels not tied to specific health plans. Healthcare associations are another new category opportunity for Ontrak. We've seen interest in our solutions with healthcare associations that serve frontline hospital employees. To that end, we are in discussions with two associations, each representing a significant number of hospitals and have just submitted a statement of work for one of them. Another of our new category of opportunities is professional employment organizations or PEOs. Their strong interest in our LifeDojo solution for a large PEO with 8,000 client companies serving over 4,000 employees -- 400,000 employees. We are all encouraged by the reception to Ontrak programs in the higher education industry, especially to our enhanced LifeDojo mobile well-being solutions for students and faculty. A 2021 Mayo Clinic study notes that 44% of college students reported having symptoms of depression or anxiety and yet 75% of struggling students are reluctant to seek care. We believe that LifeDojo track record of delivering high levels of user engagement in improved health habits translates well to the student populations. Our customers tell us that Ontrak health stands apart in an otherwise crowded marketplace. A 2020 million study notes that 5.7% of U.S. adults in chronic -- with chronic conditions have an unmet need for behavioral health care, accounting for 44% of the total healthcare spend. We continue to focus on this unaddressed high acuity high cost complex population with significant comorbidities that drive up the cost of medical care. There are many digital solutions in the market. But they have difficulty matching our system of stratifying members to ensure that they receive the specialist care they need, and reducing healthcare and equities through high touch coaching, AI infused interventions over sustained periods of time. And as we indicated, during the last earnings call, we are offering prospects competitive, flexible pricing models that yield attractive ROIs. We think it's possible to sign several customers in 2022. With that revenue being realized in the second half of 2022 and more prominently in 2023. Now, I'd like to share more about our roadmap for achieving a significantly higher level of integrated collaborative care. As I mentioned earlier, the launch of Ontrak’s new provider integration platform addresses the challenges of system capacity, access to care and the need for a continuum of support. Our new ability to directly message primary providers, and a bidirectional exchange of clinical notes means that Ontrak’s board certified care coaches can reduce the burden on treating professionals. We can stratify members, so that they can be quickly referred to the right specialist. Our care coaches also provide motivational and counseling in between visits to specialists, which heightens member engagement and lessens the likelihood of missed or canceled appointments, which creates strain on an already overburdened mental health system. We recently announced significant innovations in our AI capabilities that enable us to infuse machine learning into the entire member journey, not just upfront identification and eligibility. We believe this is the first to market capability unmatched by any of our competitors. Ontrak will also be the first behavioral health company to use Netsmart care router service, which speeds up timeliness of access to specialist providers. We will use machine learning to better match members with coaches and providers and natural language processing will give our engagement specialists and care coaches real time information designed to optimize their interactions with members. AI infused measurements feedback assures robust clinical outcomes and cost efficiencies on both an individual and a population health level. I’d now like to turn it over to Brandon LaVerne, our Chief Financial Officer.
Brandon LaVerne: Thanks, Jonathan. During the fourth quarter, we recorded revenue of $10.3 million of 44% year-over-year decrease due primarily to the loss of two large customers, and which included the release of $4.9 million of deferred revenue associated with one of those customers. Our deferred revenue balance came down to $400,000 in the fourth quarter, down from $5.3 million in third quarter. As a result, we expect near-term quarterly revenues from our existing customers to approximate $4.5 million to $5.5 million as we look to sign in close on certain of our pipeline opportunities that we believe may increase revenues in the second half of 2022. But more fully in 2023. During the quarter, we took steps to set ourselves up for accelerated growth and return to profitability in the near future. First, our new technology development strategy has shifted from being internally developed to working in partnerships with AI and software firms that as Jonathan just mentioned, will help enhance our ability to engage with and coach the members throughout their behavioral health journey. This shifting strategy provides us greater flexibility and our ability to tailor treatment for more personalized care as well as better information to help effectively treat all of our members while reducing overall costs and development time. This change resulted in a one-time write-off of some of our capitalized software and other assets. Second, with this change, additional review of our organization structure and revenue outlook in the near-term, we completed a reduction in our headcount reduce our operating costs. Third, we reduced our corporate office footprint as we look to sublease our former Santa Monica headquarters and move to full remote workforce of our administrative departments with a small headquarters presence in Nevada. With this restructuring plan, we believe we have set ourselves in motion to optimize our efficiency and align with the three 2022 growth drivers that Jonathan described earlier. At the beginning of the quarter, we had 9,395 enrolled members and ended the quarter with 3,795 or a simple average of 6,595 members. The decrease in enrolled members was driven by the completion of the transition of over 4,600 members that either graduated or disenrolled during the quarter for the two terminated clients. That equates to revenue of about $522 per enrolled member per month for the quarter compared to $649 per enrolled member per month for Q4 2020 and $611 per enrolled member per month for Q3 of 2021. The lower revenue per enrolled member was partially due to the number of members disenrolled from the two terminated clients, as well as new pricing models implemented as discussed last quarter. To go a bit deeper into Q4 enrollment. We enrolled a total of 1,014 members during the quarter compared to 6,714 and Q4 last year, dividing Q4 gross enrollment by our outreach pool, which averaged approximately 7,953 for the quarter and annualizes to a 51% enrollment rate compared to the 55% annualized rate we saw during the first three quarters of 2021 and significantly higher than the 18% enrollment rate we had in 2020 when we were more dependent upon commercial customers. We believe that as we move past the pandemic utilization will begin to increase expanding our outreach pool as new members hit the cost thresholds to qualify for the Ontrak program. Excluding the impact of the accelerated disenrollment of our terminated customers, our monthly adjusted disenrollment rate would have been approximately 7%, which is consistent with the improving trend over the past few quarters. Further, we graduated 2,095 enrolled members during the quarter, which equates to about 22% of the enrolled members in the program at the beginning of the quarter, which has also been increasing steadily throughout the year. The net impact of all that was a net enrollment decrease of 5,600 in the fourth quarter. Our gross margin in the fourth quarter of 60.4% decrease sequentially from 68.5% but increased compared to 54.1% in the fourth quarter of last year. The sequential decreases due to the new pricing model previously discussed partially offset by efficiencies gained in our operations. We expected our gross margins to normalize in the low 50% in the near future. We ended the quarter with 125 team members included in cost of revenue down 7% sequentially from 194 at the end of Q3 due to a reduction in response to the customer loss. Turning to the balance sheet and cash flow. Our cash flow from operations in the fourth quarter was a negative $15.1 million compared to negative $100,000 in the fourth quarter last year. We ended the quarter with cash and cash equivalents of $58.8 million down from $86.9 million at fourth quarter and last year. Including restricted cash. Total cash was $65.9 million down from $103.2 million fourth quarter and last year. We are very much focused on Ontrak’s capital structure to ensure we have sufficient resources and financing to bring a robust pipeline to fruition and a set of sets up for future growth. Our Board of Directors sought further strategic financial flexibility that required us to amend our corporate charter, which was just approved last week at a special meeting of stockholders. This allows the board subject to current lender consent, the ability to enter into transactions such as with strategic partners that may have been prohibited in the past. Further, we just signed an amendment today with our senior lender that provides us with the flexibility we need over the next few quarters to raise replacement capital and to secure our financial future. As of today, our debt balance with this lender has been paid down to $19.2 million. Ontrak management has been and continues to be actively engaged with numerous potential debt financing sources in an effort to secure additional financing to fund our growth plans. We are also in early strategic discussions with a number of healthcare related entities regarding shareholder value enhancing transactions. The special committee is reviewing term sheets to determine the best and most effective opportunity for Ontrak and its shareholders. As a result, we currently expect we have sufficient capital and access to future capital necessary to manage operations and execute on the three growth initiatives Jonathan has outlined over the next 12 months. Regarding our outlook for 2022 and as I indicated earlier, we expect near-term quarterly revenues from our existing customer contracts to settle in the $4.5 million to $5.5 million range for the first two quarters of 2022 before we begin to see pipeline revenues contribute in the second half of 2022. As a result, we expect 2022 annual revenues in the range of $25 million to $30 million with a projected run rate entering 2023 more than double that amount. We believe we could hit historical revenue levels again for the full year of 2023. We must continue to be diligent with our cost structure and expect many of the initiatives Jonathan mentioned will help contribute to greater efficiencies and scalability of our operating model. We had three quarters a positive adjusted EBITDA between Q4 2020 and Q2 2021. And we have a path to positive monthly EBITDA in the first quarter of 2023. And positive operating cash flows a quarter later. I'd now like to turn the call back to Jonathan.
Jonathan Mayhew: Thanks, Brandon. I'm proud of the progress that our new management team is making the turnaround our growth trajectory, which is founded on customer centricity, clinical differentiation, AI infused interventions and a new level of collaborative care integration with our treating partners. Our sales pipeline is progressing well, with a diversified mix of prospective customers that include health plans, employers, health associations, managed behavioral health organizations, hospital networks and providers. We are constantly working to improve our execution and operations. We feel confident that this positions as well to scale this year and beyond. With that, Tawanda I'll turn it back over to you.
Operator: Thank you. [Operator Instructions] Please stand-by while we compile the Q&A roster. Our first question comes from the line of Richard Close with Canaccord. Your line is open.
Richard Close: Yes, thanks for the questions. First, I was wondering maybe if you could elaborate on the strategic discussions, you mentioned you have in terms of value enhancing transactions. Can you go into any more details on those?
Jonathan Mayhew: Richard Hi, Jonathan. We have had a number of -- I mean, I would say it this way, there's interest that seems to emerge in -- the more we develop our capabilities. And the interest has come from a number of different kinds of organizations, but they -- or healthcare organizations, whether that's network related or at risk providers, I would say, is probably the best way to categorize it.
Richard Close: Okay, so is there a formal process that you're going through here in terms of -- are you just taking things sort of over the transom as they come?
Jonathan Mayhew: As Brandon outlined I -- go ahead, Brandon. Yes.
Brandon LaVerne: I'll just get -- we have a lot of discussions in the normal courses, as you can imagine, and we're always looking at, these organizations that parallel with our services and we'd like to see for how we can benefit is, we don't have a formal process in that regard. And but ultimately, we look to all these conversations that exist in the marketplace. And -- but as I did mentioned earlier, our first and foremost is to look at debt financing to bridge the time between now and the time we can close on the pipeline that Jonathan laid-out to really maximize shareholder value. And, we signed the amendment today with our lender and with that and some other opportunities we're looking at, we think that gives us that the necessary financing in the near-term to achieve all those objectives.
Richard Close: Okay, with respect to the debt financing, I appreciate the 9.2 -- 19.2 that you mentioned. So, what is the debt, total debt level, you were at 30 -- call at 36 at the end of the year, $36 million what is the debt currently with the paydowns that you'd have done through today?
Brandon LaVerne: Well, that that -- so as of today, the debt is now down to $19.2 million.
Richard Close: Okay. Okay. I just wanted to be clear on that. Okay. And then Jonathan, maybe just talking a little bit about, you laid-out a lot of stuff that you guys are working on, and a lot of interesting items. I'm curious, just to -- this is a lot different than looking at the enrollments in terms of how you ran the business before it sounds like these different initiatives, probably have different pricing models and different flavors of contracts. Can you just go into maybe the various initiatives that you're working on? How are -- how we should think about if you land one of these -- how to model it or how -- what's the revenue build and type of -- those type of details?
Jonathan Mayhew: Sure. And, Brandon, in terms of some of the modeling, I'm happy to have his input here. I would have you think about the majority of the opportunities that we continue to go out aggressively relative to the sales pipeline, as being consistent with the traditional revenue characteristics that we've gone after, right. I mean, health plans continues to be a first and, and top priority. As we mentioned, the government lines of business seem to have the most activity for us, the vast majority of the pipeline seems to skew towards Medicare, dual eligible with Medicaid lines of business has everything to do with right sort of the disease burden and the propensity with which you can and we will find people that has got unaddressed behavioral health needs and a big disease burden overall. When you then think about that being a primary focus, that's where the majority of the pipeline is, when you start talking about at risk provider groups or even some of the clinic and retail strategies. Those are the same kinds of individuals, right? I mean, you're talking about people that is largely got a government reimbursement line of business, they might be accessing care in a walk-in clinic, they might be accessing care through a capitated at risk provider group. And so the conversations that we're in, really do have a lot of the very same coaching and therapy revenue characteristics that traditional lines of business have had for the company. And as we've talked about, I just would separate out that primary focus, the majority of the pipeline is directed at those traditional revenue characteristics from the LifeDojo mobile platform, which in fact, are lower, PM-PM types of revenue, but the vast majority of what sits in the pipeline today is the traditional revenue source, I would describe it as.
Richard Close: Okay and then as you ramp up in the second half your -- Brandon was talking about closing some of these would contribute in the second half. Should we think about like the LifeDojo, I assume the higher ad is like LifeDojo. So this year it’s more like those tech wins, lower PM-PM, like a LifeDojo and then 2023 maybe new health plans or government line of business, that’s how we should think about it?
Brandon LaVerne: I would say this, we -- for LifeDojo, I think, because of the price point, because of the calendar year of some of the higher education starting in the fall and the way they think about their business year, those conversations are very active to be implemented in the current year for some of the provider group and health plan conversations that we're actively in, we are moving towards those data exchange and term sheets and the things that lead us to a full statement of work and contract. And we're expecting to try to advance those conversations in 2022. And so I think whether they will land in the second quarter or whether they will land in the third quarter, it is our hope and expectation that we're going to continue to be able to drive at some of those health plan conversations in this year. And that sort of goes to the point where as we onboard, and implement those in the middle part of this year, we probably won't be recognizing a ton of revenue in the third quarter or the fourth quarter. But we will be ramping towards 2023 revenue as we onboard those customers in the second and third quarter this year.
Richard Close: Okay, I'll jump back in the queue. Thank you for answering the questions.
Jonathan Mayhew: Thank you.
Operator: Thank you. Our next question comes from the line of Bill Sutherland with Benchmark Company. Your line is open.
Bill Sutherland: Thanks, everybody. Brandon you guided, you didn’t guide, but you suggested that the gross margins going forward would be in the low 50 range, I think, is that a sort of mix? Is that a function of mix in the future that you're seeing?
Brandon LaVerne: It's -- I don't know, if I'd say mix as much as I'd say, just the way we're pricing now given the efficiencies we've gained in our model, and the ROI is do we want to generate for our customers. We're starting to think about how to bridge that gap and to give the best pricing and the most constructive type of price available, and just where we see that with our existing customers coming off, new customers coming on and existing customers remain, that's kind of where we see it. We will continue to with a lot of the technology that Jonathan mentioned, we're looking to continue to improve our own efficiencies. And so I'd love to see that there's upside there, but I definitely want to give caution, I've been saying for a couple quarters, that expected our gross margin to come down a bit, and it came down from 68 down to 60. And we do expect that with -- again with the two customers coming off, for sure that we will see a little bit of a lower number coming forward as well. The other thing to remember is as we onboard customers, so as Jonathan just mentioned, we do expect to onboard customers new health plan customers this year, we have to hire in advance of that. And so usually that creates a month or month and a half impacts that that comes into our gross margins in advance -- after starting but before launching the particular contracts and so that's t analysis as well.
Bill Sutherland: Got it. And then as far as OpEx and the changes that you've made in cost structure with the fourth quarter the charges, is there a level that we should think about that you're kind of running out now for OpEx?
Brandon LaVerne: I would definitely expect it would be still a little bit less than in the fourth quarter. I mentioned that we made some changes in the fourth quarter. And so will be -- will likely be coming down from there. There's also some direct costs that come out with the -- there's some direct costs of revenue that come out, but just the provider costs of that nature that come out as well. And so I would say, expect -- we would expect that the OpEx would come down from the fourth quarter levels, and start to normalize from there.
Bill Sutherland: Okay. And, Jonathan, based on the experiences you've had, with the two large plans that [lapsed] last year, and how you're beginning to work towards them [SAW] with new or maybe not new large health plans? What -- how have you changed your approach to being the most effective you can be with that kind of customer going forward?
Jonathan Mayhew: I appreciate the question. I -- that the capabilities story has really evolved and changed number one, our ability to think about customer stratification or the member stratification has changed. And our ability to talk about an enhanced and differentiated level of ROI, and then an ROI guarantee and a commitment, from a performance standpoint are all things I will tell you have resonated and are resonating in a pretty material way with a prospect base. The only other thing I can think too, to short of draw a distinction on particularly most recently, is -- there are a number of the larger digital behavioral health programs that have been in play for a while. And whether it's at your three, maybe heading into your four, where there's been a sufficient degree of exposure to the capabilities the shine seems to have worn-off, whether some of those capabilities can be expanded, right, they don't have the ability to ingest data, they don't have the ability to model an outreach pool, and they don't have the human capital to make the trained kind of professional outreaches to invite people into treatment. And I know we talk about that a lot. But if those digital platforms don't have those capabilities, and there is about sort of a development schedule, to expand those kinds of capabilities, I think health plans are beginning to understand that there are some limitations to some of those subsequent solutions that they've had in place. So I would say it's a combination of those things, the capabilities, the ability to stratify the population to back into an ROI with a pretty aggressive performance guarantee. And then people who have implemented some solutions are sort of prepared to look at alternatives a couple of years in.
Bill Sutherland: Okay, that makes sense. Thanks for the color.
Jonathan Mayhew: Does that that help you. Yes…
Bill Sutherland: Yes, thank you very much.
Jonathan Mayhew: Yes.
Operator: Thank you. Our next question comes from the line of Sean Dodge, with RBC Capital Markets. Your line is open.
Thomas Keller: Hey, good afternoon. This is Thomas Keller on for Sean. Thanks for taking the questions. First question relates to the ‘22 guidance. I mean, I know previously, you all talked before about since natural recovery in the average pool based on kind of a broader healthcare utilization. I guess have you all seen that at all? And are there any expectations built in the guidance for the back half around that or should we think about that being driven primarily by new business?
Brandon LaVerne: I would say predominantly, we're looking at the forecast being driven by new business, there's, some elements of utilization that we would expect. But with the pool numbers, the impact on it now versus when we had a huge commercial business in there is a lot different. And so that could have some elements of an impact, but much smaller than the impact of the customers.
Thomas Keller: Okay, thanks. It’s helpful. And then on that three-year contract, you've mentioned, there's a flat PM-PM across that full employee base, or is there any sort of enrollment or utilization base component? And I guess, everything about that in terms of relative contribution to ‘22 and you had already a full run rate or they -- is it rolling that out in phases, given the size and sort of geographic footprint?
Brandon LaVerne: That -- it's a fixed PM-PM across the entire population. And it's a new contract builds up of what we've had in the past. And so the revenue contribution for 2022 would be incremental to what we -- would be a little bit incremental to what we had in 2021. And so it's definitely built in and part of the forecast. But it's an existing customer that that signed up with a new contract for some expansion to go along with it.
Thomas Keller: That’s it. All right, it’s helpful. All right. Appreciate it. That's all for me.
Brandon LaVerne: Thank you.
Operator: Thank you. We have a follow up from the line of Richard Close with Canaccord. Your line is open.
Richard Close: Yes, Jonathan, I was curious if you could just dive into the Netsmart relationship a little bit. Just exactly what are you guys doing with them? Is it a sales channel potential for you just any more details that relationship would be helpful?
Jonathan Mayhew: It's a good question on the sales channel. That's not the -- it's not at the moment. And that's not what we were primarily looking for out of the partnership. But, I would say first and foremost, it gives us a pretty robust, very easy platform to create collaborative care, and interoperability connections pretty broadly. So the EHR that our care community will sit on, gives us from a management and a reporting standpoint, just a whole lot more information to see verifiable levels of activity in our care community, right. So we get to just manage in a totally different way. It allows us to hook up with other EHRs and create a set of interactions that we can begin to do different things with, right, we can create bidirectional information, we can share our coaches notes with treating professionals, as we make behavioral health assessments right up determining the level of somebody's anxiety, depression or substance use as we're going through an intake or an on ongoing coaching, set of strategies with the person, we can share that information with the treating professionals and let them know whether the people are progressing or regressing right in their level of treatment, it helps us understand the timeliness of when somebody should graduate from the program. But because of the adaptability and in the other vendors that we can align to Netsmart, it gives us an increasing set of AI in machine learning vendors that we can plug-in. And so we can do additional data modeling, we can have inbound and outbound submissions around our outreach, and eligibility effectiveness. We can think about real time integrations for provider searches, which is one of those things that that I mentioned in the script, but just knowing whether providers got availability, how much provider availability they've got, knowing whether there are some geographic considerations that may really be important. So you can think about sort of geo mapping somebodies access, but, things like knowing the best time to reach out to people, speech patterns and sentiment, feedback can all be linked, right, these modules that we can bolt-on to the platform, just give us a real set of capabilities that to the very best of our knowledge are just not being deployed, not that some of these vendors aren't doing this stuff for other industries. But when you link together, what Netsmart can provide to us around management information and reporting information, and then the ability to match up our own internal vendors, but also link up with the other EHR that, these clinics, retail locations and capitated provider groups have, it gives us a level of collaboration in the trading process that I think really will distinguish us in terms of the kind of outcomes that we can generate, but also just the convenience and support we can provide to the trading partners, right? It just would be a lot easier to do business with a company like ours.
Richard Close: So you're essentially licensing -- yes, you're essentially licensing the care fabric platform from Netsmart and instead of doing that in-house yourself, as Brandon had said. Okay. Can you talk a little bit about the your plans on the behavioral health treatment specialists network. What exactly are you doing there? What's the cost involved with that? Is there any incremental cost or is that something that you have already developed or is that over the course of 2022?
Jonathan Mayhew: It will be over the course of 2022, I would describe our network strategy, maybe in two buckets. So one is enhancing the provider service capabilities, right, that we can provide. So yes, I'll start with sort of the easy one, if you will, but enhancing our alignment with current providers, we are going through and have been pretty rigorous and intensely going through and identification of provider groups that we can strategically partner with, right? Where can we have performance SLAs? Where can we create and use the kind of integrated capabilities that I just mentioned, so that we can align around referral patterns, data share workflows, bidirectional treatment notes, right, like we want providers that have capacity, and have a willingness to interact and engage around those kinds of preferred dimensions. So we're working our existing network, to really try to increasingly make sure we can find contract and put some performance case around those arrangements with existing providers that we already, do some work with and have relationships with. The second part of it is to contract with new high quality providers align around these collaborative care dimensions. And so whether they already have community resources that they're referring to whether they already have primary care physicians that they're referring to, we want to make sure that we can get that same level of integration, and we want to be able to do it in a preferred proprietary access to those treating professionals. So the contracting strategy, we've got a couple of different contracting models that we will be able to work through, but we'll be able to contract on an exclusive basis to ensure that those individuals from a treatment standpoint are uniquely aligned to Ontrak.
Richard Close: Okay. Thank you.
Jonathan Mayhew: Yep.
Operator: Thank you. At this time, I'd like to turn the call back over to Jonathan for closing remarks.
Jonathan Mayhew: Thank you very much. We appreciate everybody's time this evening and the opportunity to share with you our quarter and our optimism for what we're working on. And we are working on these opportunities with great urgency. So thanks again. Have a nice evening, everyone. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation. You may now disconnect.